Operator: Ladies and gentlemen, thank you for standing by, and welcome to the DXP Enterprise Inc. 2020 Third Quarter Earnings Call. At this time all participants are in a listen-only mode. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Kent Yee, Chief Executive Officer [ph]. Please go ahead.
Kent Yee: Christine, I was Chief Financial Officer. But thank you. Thank you. This is Kent Yee, and welcome to DXP's Q3 2020 conference call to discuss our results for the third quarter ending September 30, 2020. Joining me today is our Chairman and CEO, David Little. Before we get started, I want to remind you that today's call is being webcast and recorded and includes forward-looking statements. Actual results may differ materially from those contemplated by these forward-looking statements. As a detailed discussion of the many factors that we believe may have a material effect on our business on an ongoing basis are contained in our SEC filings. However, DXP assumes no obligation to update that information as a result of new information or future events. During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our earnings press release. The press release and an accompanying investor presentation are now available on our website at ir.dxpe.com. I will now turn the call over to David to provide his thoughts and a summary of the third quarter.
David Little: Good morning, and thank you, Kent. Thanks to everyone for joining us today on our 2020 third quarter conference call. We are pleased with our results for the third quarter and year-to-date. Obviously, there are some areas where the impact in progress is not where we would like it to be. But given the unprecedented nature of COVID-19 and the continued effects of managing a virus pandemic mimic, I am proud of all our DXPeople and how we collectively find ways to move forward. DXPeople have continued to find ways to deliver financial results for all our stakeholders in the face of extraordinary challenges. My heart goes out to those that have additional challenges of the California wildfires and multiple hurricanes along the Louisiana Coast. We remain focused on driving sales growth and achieving our vision of excellence for our DXPeople, customer, suppliers, shareholders and communities. I will start this call by updating you on developments since our second quarter call and discussing some of the actions we are taking to successfully navigate the rest of the year and beyond. Kent will then take you through the key financial details after my remarks. After his prepared comments, we will be open for Q&A. As we continue to navigate through the sales and operating challenges associated with COVID 19, we feel very fortunate to be here at DXP and a part of the essential industry. Our strategy has always been to combine the financial strength, talent, resources, technology and capabilities of a large company with the fast, flexible and entrepreneurial capabilities of our local businesses to deliver superior value to our customers and to our suppliers, while providing better growth opportunities for our DXPeople. There has been no better time than now to emphasize these qualities while being fast, flexible, convenient, providing technical solutions for the different end markets we serve. We continue to build our capabilities to provide complementary set of products and services in all our markets, which makes DXP very unique in our industry, gives us more ways to help our customer win. We also are constantly looking at reviewing opportunities where we can grow market share. We complement our strategy with a relentless drive for progress that includes business and operational initiatives, which we believe will allow us to steadily improve our performance for all our stakeholders. As we finish out the year, we are excited about the opportunities ahead and the potential DXP has to continue to scale and grow within existing and new markets. We are a financially strong industrial leader, and we are finding ways to work through and remain successful today while putting us in a position to be successful and to par tomorrow. And we also believe that we must be opportunistic and find ways to move forward with safety and mine and drive strategic growth. Finally, given the fragmented nature of our industry, we continue to build DXP by adding the best local and regional companies to our team through acquisitions, enhancing and filling in our product lines, expanding our reach and adding terrific talent along the way. Our third quarter results reflect us beginning to deliver on these priorities while finding ways to work in our new normal. As we discussed during the second quarter call, the recovery or rebound that we somewhat expected in May and part of June was short-lived as COVID cases picked up after stay at home orders relaxed and businesses begin to return to work. DXP troughed in July, while the economy was fighting to get back to work, but begin to rebound in August and September. July sales per day dropped at $3.2 million and subsequently increased in August and September. For the third quarter, we averaged $3.4 million sales per day versus our year-to-date average of $4.1 million calls per day. We anticipate closing the year closer to our average sales per day, assuming there is no setbacks in the fourth quarter, including future lockdowns or surges related to COVID. I would like to share with you some of the diversity of our end markets. We do water and wastewater-municipal, 2%, food and beverage/sanitary, 6%, aggregates in agriculture, 2%, general industry, 15%, manufacturing, 6%, chemical, 7%, fabrication and construction, 9%, military, 1%, mining, 2%, hour, 1% and pulp and paper, 1%, refining, 4%, steal 2%, transportation aerospace, 3%, upstream oil and gas, 8%, midstream oil and gas, 15%, alternative energy, 0.5% and resellers, 5%. DXP's goal is to grow all our markets and have a balanced end market exposure. Our biggest opportunities and targets are: food and beverage, sanitary, water and wastewater, municipal, chemicals, alternative energy, refineries and military. We continue to believe the pace and magnitude of recovering going forward will vary greatly by geography and customer type. Despite these challenges, we continue to execute on our value proposition for our customers and our company. Our third quarter financial performance results - reflects the results of these executions. Total company sales were $220 million, down 12% from the second quarter, and adjusted operating income of $7.1 million, an improvement of 12% compared to the second quarter. During the third quarter, as expected, we also experienced the largest sales decline with our Innovative Pumping Solutions business segment. IPS is tied to capital budgets. And the oil and gas injury has yet to work through what ultimately is a demand problem that has been accentuated during the COVID crisis. We have been cutting expenses to make money on lower sales demand, including shuttering one of our fabrication facilities. However, as my previous comments suggested, we do see the start of a slow demand recovery. DXP sales professionals continue to use a variety of virtual tools to contact customers as well as they have started going back to traditional methods of entering customer facilities. Customers are focused on those partners that they had an existing relationship with prior to COVID-19. We will continue to use whatever medium the customer prefers and tailor our approach to their needs. DXP is always customer-focused, especially in the environment we have today. We're listening to our customer matters. Unlike DXP and DXPeople, great, is not just our technical expertise, but also being fast and convenient for the customer. Being fast and easy to do business with is not easy when we tailor each solution to how the customer wants to do business with DXP. Our omni-channel approach is not new but does improve every year with new technology enhancements. Our Smart Solutions suite of services driven by digital systems include programs that are flexible to adapt to each customer's unique supply chain challenges. DXPs customers can pick the suite of programs they want or need. DXP has a variety of solutions that the customer can choose, including DXP Smart Solutions suite of products that includes the following. SmartAgreements, MRO commodity purchase agreements, SmartBuy, outsourcing MRO procurement with order management functionality and reporting, SmartServ, warranty and repair management that manages the life cycle of the equipment, SmartSource, storeroom management, SmartStore, web-based ordering and customized e catalog solutions, SmartVend, industrial vending, including software, setup, training, service and support, SmartVMI, vendor-managed inventory solutions with a technology suite and EDI requirements, SmartReliability, which is a suite of products to provide proactive health monitoring of capital equipment, Smart Virtual Store and unmanned store room. Today, 35% of our transactions are digital. 68% of all purchase orders are electronic, 87% of all our AP processing is touchless. The question is not if DXP, and most of our suppliers are ready for digital transformation, but the question is, is the industrial customer ready to become digital. In terms of our Service Centers and regions that experienced growth year-over-year, this included Alaska, California, North Rocky regions. Sequentially, the Service Centers grew sales 7%. The Supply Chain Service experienced a slow decline in Q3, going from $37 million in Q2 to $33 million in sales in Q3. Supply Chain Service business believes that it has turned the corner. And from customer demand perspective is anticipating sequential growth in Q4. In terms of the strength in the IPS backlog, we are now approaching the 2017 average backlog numbers and continue to see declines that are consistent with our customers cutting capital budgets. Our main focus within IPS is maintaining the demand level where we have today and find opportunities in other markets such as biofuels, food and beverage and water and wastewater. Regarding cost, we are tightly managing our business to a performance standard that results in overall company profitability. From an EBITDA perspective, we increased EBITDA margins 68 basis points from the second quarter as we were able to improve gross margins by 12 basis points and drive efficiencies on lower sales demand. This led us to continue to produce positive free cash flow. We produced $29 million of free cash flow during the quarter, and we are on our way to have $100 million free cash flow generation year. With the strong cash flow generation in the third quarter, we were able to manage our capital structure appropriately. Our strong cash flow resulted in meaningful improvement in our liquidity and a reduction in total debt. Maintaining a strong balance sheet is critical to our strategy to invest in our capabilities through organic growth and acquisitions. I'm very pleased that we were able to quickly reignite our acquisition discussions during the second part of second quarter and at the start of the third quarter. As we mentioned during our last call, we made the decision to resume our acquisition discussions, and we are already moving forward. We have two letters of intent in place, and we are actively conducting due diligence and anticipate closing one or two deals at the end of the year. We are adding companies to have a focus on non-oil and gas markets, specifically water and wastewater, food and beverage and other general industrial end markets. To summarize, I am very proud of how our team has performed in this extraordinary environment to keep everyone healthy and safe, serve and support our customers, manage our business to lower near term demand, take care of each other along the way. As a leading distributor of highly engineered products and services, we believe DXP remains well positioned to support our customers and to navigate these changing period for the benefit of all stakeholders. I would like to sincerely thank all of our DXPeople who continue to show up to work or whom are working remotely every day with their passion, commitment and teamwork. We have a tremendous team and it is an honor to overcome the collective adversities we are all experiencing and deliver value for all our stakeholders. With that, I will now turn it back over to Kent to review the financials in more detail.
Kent Yee: Thank you, David, and thank you to everyone for joining us for our review of our third quarter financial results. Overall, DXP's third quarter results were good to see and reflect the following: sales demand lightly bottoming from the pressures of COVID-19, business segment strength within Service Centers, followed by Supply Chain Services and then IPS, which was impacted the greatest, given the ties to oil and gas CapEx budgets, consistent gross margin strength, SG&A reductions and strong quarterly free cash flow generation. During our second quarter conference call, we were still looking for the full impact of COVID to show in our financial results. The third quarter reflects the full impact of the COVID-19 related sales demand pressures as we likely hit a COVID related sales bottom in July with sales per business day at $3.2 million. As such, during the third quarter, we took a $48.4 million pretax charge related to an impairment of goodwill and related assets. Throughout the remainder of my comments, I will adjust for these impacts as they are noncash and relate to following the appropriate accounting guidance. Turning back to our operating results. The demand deterioration associated with our customer spending reduction was most evident in our IPS business segment, which followed the decline in rig count and completions. However, our end market diversity proved to be a mitigating factor within our Service Center business segment, and we look forward to strategically adding other end markets over the next 12 to 24 months, which David alluded to as we press on with organic and acquisition initiatives. For the 9-month period ending September 30, 2020, total sales were $772.6 million and adjusted operating income was $25.2 million. Adjusted diluted earnings per share was $0.16 per share. As I mentioned earlier, during the third quarter, DXP incurred a pretax noncash impairment and other onetime noncash charges of $48.4 million related to goodwill and certain assets. In terms of the quarterly income statement highlights. Total sales for the third quarter were $220.2 million, compared to $327.2 million for the same period in fiscal 2019. Sequentially, this is a 12.4% decline versus Q2 and a 32.7% decline compared to the third quarter of 2019. Year-to-date, this reflects DXP sales hitting a trough in July with subsequent rebounds in August and September as well as October. Acquisitions contributed $5.1 million in sales during the quarter, which was a sequential increase of 13.7% versus Q2. Average daily sales for the third quarter were $3.4 million per day versus $5.1 million per day in Q3, 2019, and $4 million per day in the second quarter of 2020. Adjusting for acquisitions, average daily sales was essentially flat at $3.4 million per day. Regions within our Service Center business segment, which experienced sales growth year-over-year, include Alaska, California and the North Rockies. Key end markets driving the sales performance include food and beverage, mining, municipal and specialty chemicals. Service Centers sales - excuse me - were up 7.2% sequentially and declined 14.9% from Q3 of last year. The sequential growth reflects the diversity of end markets within Service Centers and the strength in markets previously mentioned. In terms of Innovative Pumping Solutions, sales were down 63.8% sequentially and 73.4% compared to Q3 of last year. As David reviewed, we are monitoring the backlog as we experienced declines within Innovative Pumping Solutions. As we review monthly bookings and backlog, we are comparing these data points to our FY 2015 and 2016 averages, the last time we experienced a contraction in this business as well as to fiscal year 2017. Our Q3 average backlog is below the FY 2015 monthly average by 15%, but remains above the fiscal year 2016 monthly average by 44% and ahead of our 2017 average 4%. The conclusion here is that we are trending toward 2017 12-month sales based upon where our backlog stands today. However, each quarter, we reset based upon the new level of bookings and corresponding ending backlog. Our IPS customers have cut CapEx budgets and a majority are weighing till the U.S. election settles and they can reset budgets based upon political direction, clarity around OPEC producer cuts the timing around a vaccine for COVID. As we always say, volatility and uncertainty is not good for our CapEx related customers, it becomes difficult for them to make capital allocation decisions, and we find ourselves in that environment today. Supply Chain Services sales declined 9.9% sequentially and 34.8% compared to the third quarter of 2019. Supply Chain Services third quarter sales performance reflects significant pullback in activity at oil and gas and transportation-related customer sites. Additionally, Supply Chain Services has been dealing with customers' temporary closing facilities for an extended period due to COVID or rationalizing some facilities altogether. During July, a subset of our supply chain customers closed for the holidays. Going into Q4, our Supply Chain Services segment is anticipating sales growth. Turning to our gross margins, DXP total gross margins were 27.8%, a 49 basis point decline from Q3 of 2019 and a 12 basis point improvement sequentially. This is a result of 185 basis point improvement in gross margins within Service Centers from Q2 to Q3 and an 18 basis point improvement within Supply Chain Services. The Service Center improvement was the result of an improvement in gross margins in Canada within our Safety Services business with a better product mix. The improvement within Supply Chain Services was a result of more sales from higher-margin customers. In terms of operating income, combined, all 3 business segments declined 165 basis points in year-over-year business segment operating income margins versus Q3 of 2019 and 13 basis points compared to Q2. Total DXP adjusted operating income increased 74 basis points versus Q2 of 2020 to $7.6 million. Our SG&A for the quarter declined $9.2 million from Q2, with further reductions anticipated as we adjust to the current level of sales demand in our various business segments. Since Q1, we have reduced SG&A $19.3 million, which reflects our ability to quickly reduce SG&A levels and aggressively attack discretionary spending. We remain mindful that the contraction associated with the coronavirus will pass. And from a resource and capability perspective, we want to be in a position to respond to our customer needs as we believe those who are in a position to respond today and tomorrow will gain the most market share. We are starting to see this within our Service Centers segment, and we are selectively positioning ourselves to grow and take market share where appropriate and reinvest in the business. Turning to EBITDA, adjusted EBITDA was $12.5 million in Q3 versus $28.2 million in Q3 of 2019 and $12.6 million in Q2. Adjusted EBITDA margins were 5.7% versus 8.6% in Q3 of 2019. Sequentially, we improved adjusted EBITDA margins 68 basis points. In terms of our EPS, our adjusted net income of Q3 2020 was $2.9 million. Our adjusted earnings per diluted share for Q3 2020 was $0.16 per share versus $0.12 per share in Q2 and $0.71 per share in Q3 of 2019. Turning to the balance sheet and cash flow, in terms of working capital, our working capital was $161.7 million at the end of the quarter. This amounted to 15.1% of our last 12-month sales and a $30.6 million reduction from Q2 and an $81.8 million reduction since Q1. This reflects the decline within our project-related business, which is a double-edged sort when it comes to working capital uses, but this quarter does drive us to the point where we are in line with our historical averages. Improvements in working capital have been driven by improved collections, which we mentioned during the second quarter, with our average accounts receivable days, experienced an 8-day reduction from Q1 to Q2 and moving slightly up by 4 days but still down almost 6 days from recent averages. In terms of cash, we had $97.3 million in cash on the balance sheet at September 30. This is an increase of $18.6 million compared to Q2 and $43.1 million since Q4 and reflects the payments on our Term loan B. Cash provided by operations was $30.5 million. We will continue to highlight the strong cash flow model we have and the benefits when paired with the appropriate capital structure working capital management. For the quarter, we produced $29.1 million in free cash flow. In terms of CapEx, CapEx in the third quarter was $1.4 million or 0.6% of third quarter sales. Compared to the third quarter of 2019, CapEx dollars are down $4.3 million or 75.3%. As a reminder, CapEx during the quarter reflects our ability to control capital investment and the minimal maintenance needs of our business. Return on invested capital, our ROIC, at the end of the third quarter was 17%. At September 30, our fixed charge coverage ratio was 2.6:1, and our secured leverage ratio was 2.8:1 to total debt outstanding at September 30 was $271.5 million, which reflects, again, the $10 million in optional prepayments made during the third quarter. In terms of liquidity, as of this call, we remain undrawn on our ABL and have over $228.6 million in liquidity, consisting of the $97.3 million in cash and $114.3 million in ABL availability. Similar to after Q2, we anticipated making an optional $5 million to $10 million prepayment on our Term loan B to further strengthen our balance sheet. David's comments covered the fact that we anticipate closing one to two acquisitions at year-end. These transactions will continue to diversify DXP from an end market perspective as well as further strengthen our capabilities in key geographic regions and product offerings. We are looking forward to eventually bringing on new DXPeople who will make the DXP team stronger, expand our end market mix and support further performance and growth. In summary, our priority from a balance sheet perspective remains focused on maximizing our financial strength and flexibility without sacrificing long-term growth, our market opportunities and positions us to be opportunistic when any growth opportunities arise. Collectively, we are moving forward safely and positioning DXP to win today and tomorrow. I will now turn the call over for questions.
Operator: [Operator Instructions] And there are no questions at this time. I'll turn the call back over to Kent Yee.
 :
 :
Kent Yee: Thank you, Christine. To our listeners today, we understood that there could be a possibility of not having equity analysts on the call to ask questions. Recently, one of our equity analysts took another job opportunity and his firm had to haul coverage in response. Joe, congratulations on your new job, and we wish you the best of luck, and we appreciate all the support over the years. Another firm decided to discontinue coverage on DXP for a variety of reasons. And while we think this is miscalculated, we look forward to telling our evolving story from an end market and growth perspective. We are excited to have Tommy Moll from Stephens to pick us up, but unfortunately, he could not be on this call today and notified us in advance of the call. As we reset and move forward from here, we think there's no better opportunity than now to cover DXP as we continue to execute on our organic and acquisition-driven growth that we mentioned during this call. Additionally, to our employees and shareholders, change is never an event but a process, and we are equally as committed to the process of growing the different end markets we have discussed, both internally and externally, while continuing to serve the oil and gas markets. With that said, I'll turn the call over to David for some concluding thoughts.
David Little: Thanks, Kent. Yes. My thoughts are just that I would like to really thank our DXPeople. It's really a tough environment. Nobody wants to catch the COVID. And so - but we all need to go to work and try to take care of the customers the best we can. And so I really appreciate everybody in their efforts to do so. I'm traveling a bit. I know salesman are out doing what they need to be doing, et cetera. So I think that's great and fantastic. At the same time, I think we're fortunate to have all the electronic devices and capabilities to work at home for those that can, and we're trying to be safe, which I think is paramount and probably our number 1 - not probably, is our number 1 concern is to keep everybody safe. And so I thank everybody for that. I thank our shareholders for supporting us, and we're trying to do the best we can here. It's not - we've kind of been fortunate in a lot of ways that were in the central business and that we're moving forward and doing a lot of really, really good things and making some pretty neat progress. As everybody knows, and can see the biggest culprit is IPS, and that's strictly the first thing that somebody is going to cut is going to be their capital budget. And so we're having some wins there. And they're just normally not of the same size. They're small wins. And there's still profitable wins. So we're okay there. It's just - it is what it is, and we're down in that area pretty significantly. I think with that, again, I'll thank everybody for our call today, and we appreciate everybody's efforts. So have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.